Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Second Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen only mode. [Operator Instructions] I must advise you that this conference is being recorded. I would now like to hand your first speaker today, Roman Safiyulin. Please go ahead, sir.
Roman Safiyulin: Hello, everyone, and welcome to HeadHunter Group second quarter 2020 earnings call. On the call today, we have Mikhail Zhukov, our Chief Executive Officer; Grigorii Moiseev, our Chief Financial Officer; and Dmitry Sergienkov, our Chief Strategy Officer. A press release containing our second quarter 2020 result was issued earlier today and a copy may be obtained through our website at investor.hh.ru. Now, I will briefly walk you through the Safe Harbor statement. Today's discussion will contain forward-looking statements. Actual results may differ materially from the results predicted or implied by such statements. And forward-looking statements made today speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ, please see the Risk Factors section in our Annual Report on 20-F for the year ended December 31st, 2019 and our final perspective and connection with our public offerings that was filed with the U.S. Securities and Exchange Commission on June 16, 2020. During this call, we'll be referring to some non-IFRS financial measures. These non-IFRS financial measures are not prepared in accordance with IFRS. A reconciliation of the non-IFRS financial measures to the most directly comparable IFRS measures is provided in the earnings release we issued today and the slide presentation, each of which is available on our website at investor.hh.ru. Now, I’ll turn the call over to Mikhail to make a quick opening remark. Please go ahead.
Mikhail Zhukov: Thank you, Roman. Good afternoon everyone. We welcome to today's call. First of all, I would like to express my deepest gratitude to everyone with whom we went through this challenging period, shoulder-to-shoulder. To our customers' full support and dedication, they have demonstrated an incredible accountability to their recruitment on our platform, to the HeadHunter team for their dedication and professionalism, maintaining uninterrupted operation at a highest industry standard, to our new shareholders for faith in the bright future of our company, despite such a turbulent environment. We believe that our performance in the second quarter demonstrates resilience of our business model and flexibility in managing operations in the face of challenging business environments. We have seen more rapid and confident recovery than originally expected, especially in the most damaged SME segment, which is our largest and most promising market. Our KPIs have shown a strong recovery in Q2 and recently we have reached the all-time number of CVs and job posting on our platform. We acknowledge that there is still uncertainty ahead, but current developments give us hope for continued recruitment activity around and shift with market towards online personnel hiring. Now let me, turn it over to Dmitry to work through some of the key highlights of the second quarter.
Dmitry Sergienkov: Thank you, Mikhail, and hello, everyone. As Mikhail described, it has been a fairly difficult and volatile quarter for the whole company. So we started April at the point of the highest uncertainty and all operating financial metrics were falling with client freezing the equipment businesses going out of operation, et cetera. So since then, we've seen a significant improvement in recruitment sentiment overall, leading to a strong upward trend across all KPIs, so that in the end of the quarter, we reached pre pandemic levels in the vast majority of business segments. And most importantly, our revenue hit last year level. So we turned back to top line growth from July onwards. Eventually, we finished the quarter at the high end of the guidance ranges that we provided earlier this year, our Q2 revenue was down just 19% due to discretionary nature of our cost base who were able to adjust our budgets and demonstrated pretty sound profitability with EBITDA margin of 45%. CapEx was below 2% of revenue, and we put most of the nonessential CapEx initiatives on hold, including office renovation. As to the performance by product, please turn to Page 4. Bundled subscriptions in other time proved to be highly robust and predictable part of our revenue stream. By design, bundles are sold in longer durations, like six months and longer and therefore, continue generating strong revenue streams defining nonworking period. CV database access is sold in all durations, with one and seven days durations being quite popular among small and medium businesses. And this client category was hit hardest, right? So CV database access revenue experienced deeper contraction than bundles. The most underperforming product was job posting, as you know, many companies for more categories actually scale back their recruitment activity during this period. A notable resilience of value-added services is explained by high share of subscription-based revenue from branding products, in particular, also a spike in demand in performance-based products like virtual recruiter, that was caused by upswings in delivery on online grocery market booming during the guarantee period. Turning now to Q2 results by customer segment. As Pages 5 to 7, we generally saw revenue decelerating across all customer segments, except key accounts in the Russian region. This client category assumes disproportionally higher share of long-term bundled subscriptions performing great over the crisis. Revenue from key accounts in Moscow and Sant Vitis book, however, decline as COVID impact in Moscow sandpits more severe, lockdown measures more strict. Hiring freeze led to our PC decline and temporary churn of smaller key accounts, the majority of which have already turned back to our platform. Small and medium segment has been the most affected, as you know, especially in traditional industries, such as Horeca, offline service, apparel, non-food retail, resulting in an overall revenue decline of 28%. As mentioned before, now, we see the segment recovering faster, having already reached SEL '19 level. As to the recent operating performance through the currenting period, please refer to Page 8. In terms of new CVs inflow, after a sharp rebound that we've seen in Q2, we saw further stabilization with mid-single-digit year-on-year growth, quite typical for summer downtime. Total number of CVs on the platform reached level of 46.5 million. A similar monthly trend, you can see in the number of applications, but obviously, annual trend is much stronger. That is explained by deteriorated employee confidence and they are kind of higher propensity job search in this environment. Worth touching upon very encouraging dynamics in our vacancies, driven by economic bounce back coupled with our active promo campaign, we've gone beyond 700,000 vacancies on the platform, importantly, reached 19% were paid. So this indicates a great traction in our kind of revenue market share acquisition strategy. Growth number of nutation has slowed down due to summer season but remain at a very healthy pre lockdown level. All these improvements, obviously find reflection on top line performance. So currently, we see continuous recovery in revenues over July and August, indicating a solid single -digit revenue growth quarter to date. Engaged virus station doesn't worsen in the autumn. We expect for the improvement in revenue trajectory, driven by the launch of active business in the season in September. Now I'd like to provide some details on monetization strategy execution. Please turn to Page 9. Following some global best practices, we introduced lately limits on contact consumption for all subscriptions activated after the August 1, 2020. Now in all axises, there will be a certain number of contracts included. And after reaching respective Lehman, customers will need to purchase additional package of contracts as top-up price that is now set at RUB60 per contact. It has probably the biggest monetization milestones in 2016 when we canceled the unlimited job posting tariffs. So these type of initiatives create usually substantial flexibility for us in upselling, driving average check for heavy users of our service. We expect this monetization shift would affect approximately 15% of our client base with transition periods pining over 1 to 2 years for different clients. So in terms of revenue impact from these initiatives, in 2020, we expect very limited economic effect and then up to 5% incremental total revenue growth in 2021 and approximately 10% after the full rollout in 2022. So as you can see, these loan initiative, is forecast and expected to be a major driver of our top line growth going forward. And there are other initiatives to come, of course. Now here's Grigorii to talk about other financial metrics.
Grigorii Moiseev: Yes. Thanks, Demas, and hello, everyone. Let me give you some detail on our expenses and margins. In the second quarter, our total operating expenses decreased by 16% versus previous year, 12% was on the back of our IPO related expenses, not occurring in this year. The remaining 4% was the combination of cost savings in personnel and other expenses, and the increase in marketing due to our decision to intensify activities towards the end of the quarter as we saw recovery in job seeker and employer activity. I will briefly go line by line, personnel expenses, as I think we have told you on our previous call. In the second quarter, we have put our new hirings on hold, reduced performance based and discretional bonuses, cancelled corporate events and other benefits such as trainings and education. At the same time, we retained our full team and base salaries of our employee. As a result, we achieved approximately RUB60 million of cost savings in personnel expenses which were partially offset by pressure from wages indexations effective from the first quarter of 2020 and paid our new employees mostly credit prior to the second quarter. In addition, our share-based expenses have decreased and our IPO related bonus hasn’t occurred in this year, and as a result, our total personnel expenses in the second quarter 2020 decreased by RUB52 million or by 8.7% compared to the second quarter of 2019. In spite of this reduction in ruble amount, as a percentage of revenue, our personnel expenses have increased to 35.2% in the second quarter of 2020 or approximately to 4 percentage points on the back of decrease in revenue in this quarter, specifically. Also, I think important to add is we are now gradually moving our restrictions on bonus payments and other HR expenses and allowing for limited hiring in the second half of this year. Now moving on to marketing expenses, we have reduced our marketing expense during the toughest period of the pandemic in April. And then, as we saw recovery in job seeker and employer activity towards the end of the quarter, we decided that this was an opportunity to gain new audience and market share and significantly increased our marketing spend in June. As a result, our marketing expense increased by RUB13 million or by 6% on a year on year basis in the second quarter of 2020. And there is a percentage of revenue marketing expense increased to 15.3% or by approximately 4 percentage points. We believe that this is a temporary increase on the back of low revenue in this quarter and subject to revenue recovery. We shall see lower marketing expense as percentage for revenue in the second half of the year. Our other costs have decreased by 44.6% in the second quarter of 2020, so very sizable decrease primarily due to the IPO-related professional services of RUB126 million, not occurring in this year. Excluding these IPO-related expenses, other costs also decreased by approximately 8% in the second quarter 2020, which was a result of approximately RUB40 million cost savings achieved in markets maintenance, delivery and travel expenses, which were partially offset by a RUB26 million increase in the DNO insurance as we no longer classify these expenses IPO-related adjustable item. In spite of this 8% decrease in ruble amount, other costs increased as a percentage of revenue by circa 1 percentage points to 10% on the back of the decrease in revenue. Also net ForEx gain was RUB19 million in the second quarter 2022, compared to net ForEx loss of RUB13 million in the second quarter 2019. This has contributed of the adjusted EBITDA margin as a result of ForEx percentage as a percent of revenue increased by 2 percentage points in the second quarter 2020. Bottom line as a result, our adjusted EBITDA for the second quarter reached RUB685 million and our adjusted EBITDA margin was 44.7%, which is a 7 percentage points decrease compared to the second quarter 2019. This 7 percentage points increase was a result of 9 percentage points increase in personnel items and another percentage of revenue as I Just told you before, which was offset by 2 percentage point due to the increase in the foreign exchange gain. Moving onto capital expenses. In the second quarter, we have substantially completed our last quarter's renovation project and we do not expect material renovation cost in this year and at least in the year 2021 as well. Also in the second quarter 2020, we put most of our CapEx on hold, and as a result, our CapEx in the second quarter was RUB41 million, down 62% versus previous year. Adjusted for office renovation costs CapEx was less than 2% of revenue in the second quarter 2020. We are gradually freezing some of our CapEx in the second half of the year 2020, and for the full year 2020, we expect CapEx to be between 3% and 4% of our, which will be lower than 6% in 2019, mostly on the back of a decrease in office renovation costs. Now our net working capital as of June 30, 2020, grew by RUB129 million or circa 5% compared to the net working capital as of the end of last year, primarily due to increase in trade and other payables. Income tax expense was RUB75 million in the second quarter 2020. That's a decrease compared to RUB174 million in the same period the year before. This decrease was on the back of decrease in revenue and corresponding decrease in taxable profits, as well as a decrease in the effective tax rate, which was mainly due to the non-deductible IPO-related expenses not occurring in this year, as well as the non-taxable foreign exchange gain we have received in the second quarter of this year. As a result, the effective tax rate has decreased to circa 24% in the second quarter 2020 compared to 39% in the second quarter a year ago. Now turning to cash generation metrics, in the second quarter 2020, we generated RUB105 million from operating activities compared to RUB443 million in the second quarter. This decline was driven by the decrease in sales. Net cash used in investment activities was RUB29 million in the second quarter this year compared to RUB80 million last year mostly driven by cat to postponement of our capital expenditures. Net cash used in financing activities was RUB572 million compared to RUB112 million in the second quarter last year. And this increase was kind of timing due to the shift of the regular loan repayment to VTB Bank from the first quarter 2020 to the second quarter 2020 because, as you know, in the end of March, the period of non working days was announced. Our net debt as of June 30, 2020 decreased compared to the last year number, mostly due to cash generated from operating activities. As a result, leverage has decreased from 0.8 to 0.6. Also, I think worth mentioning that earlier this week, we announced our entry into a new credit facility agreement with VTB brand. This new agreement extends ultimate maturity of our debt to June 2025, as well as temporarily relaxes some business performance covenants to account for COVID-19 impact on our business. Interest rate on a new agreement was the same as on the existing one. Finally, due to the recent improvement in our key financial metrics, we expect to pay the previously deferred 2019 dividend of RUB0.50 per share, one of before September 10, 2020. Please note that the previously announced dividend record date of March 27, 2020, will remain unchanged. Thank you very much, and we are now open on the floor for your questions.
Operator: Thank you. [Operator instructions] Our first question comes from Vyacheslav Degtyarev from Goldman Sachs. Please go ahead.
Vyacheslav Degtyarev: Yes, thank you very much for the presentation, a couple of questions. Firstly, how do you think about the price increases for the next year, apart from the consumption-based approach that you introduced recently. Do you plan to have price increases for the job posting CVs database access and your other products? And secondly, can you probably elaborate a bit on the competitive trend that you observed over the course of the last couple of months? Thank you.
Dmitry Sergienkov: Thank you. So, it's Dmitry here. I'll try to answer your questions. I think on the first one, regarding price increase, as you understand that what we kind of put forward with this transition or new monetization model for CV database was quite is important nuance for our clients, right? And despite it affected only 50% of the universe, it still had a lot of kind of different reaction, right, on the various fronts. And therefore, at this point of time, we decided that probably we shouldn't be discussing any further price increases with clients, although normally, we start doing this in summer period because, especially with those clients who are running through their budgeting at this time. At the same time, we understand that, again, 85% of our clients won't be affected by the CV data base limits, right? And I think if the economy performs well, and we continue -- we see continued trend on recovery, then definitely, we'll be considering raising the other product prices. And most likely that would happen in the fourth quarter. So we try to retain as much flexibility with us this year, particularly in this environment and just assess how -- what we see with the virus evolution over autumn, right? And so what are the other economic shocks that could be happening. Therefore, yes, to answer your question, our base scenario will be just to raise prices for other products as well, but not for CV data base. And the second question, I think quite a broad one on the competitive dynamics, we generally see and consider summer being kind of downtime period from competition wise. This year is slightly different because obviously due to current situation and guaranteeing we saw that all competitors significantly trim their budgets in the second quarter, right, especially in May. And obviously, we saw them also returning to the market in June and July because the candidate and employer activity clearly picking up. So everyone actually understand that it's important to be in the market. So now we're seeing quite intense competition in mobile digital auctions, especially with water and working. Pretty, I would say, silent on the off-line in terms of the TV presence and outdoor, et cetera. So those expenses were quite moderate. So in terms of our KPIs, we are very satisfied how it actually is unfolding this summer because, especially on the back of our active promo campaign, and are certainly targeted discounts, we saw significant increase in customer registrations in. For example, July, we saw customer registration up 26% year-on-year. That was a historical record. You also can see that our content is growing. And especially during this summer downtime, that's a very nice dynamics to have. So, our feeling that we are performing well in accordance with our kind of market share acquisition strategy, and we are holding all the gaps and trying to widen them, so we don't see any competitors are catching up.
Operator: And your next question comes from Stephen Ju from Crédit Suisse. Please go ahead.
Stephen Ju: Okay. So I guess I wanted to ask more of a longer-term question, particularly as you're rolling out the usage-based pricing model here. So I think on your deck, your job applications growth is recovering faster than candidate activity, which suggests that demand for personnel is hopefully outstripping the supply of candidates. So as the economy continues to recover, you have to think that companies will have to be thinking more and more about looking for people who are already working at other companies as opposed to looking at candidates who are unemployed are between jobs, which should drive increased CV database access activities. So where are we in terms of the key accounts and SMAs willingness to recruit through the database versus the very traditional method of posting an opening?
Dmitry Sergienkov: Thanks, Stephen. We personally derived somewhat different conclusion of what we see in terms of CVs, inflow and job posting application. I think it's just a matter of, to some extent, of the kind of structural shifts in our database because we are now really seeing lot of blue-collar activity, right, where effectively, CV is not the in base instrument to apply for a job, right? And we saw a pretty nice rebound in CV data based post lockdown. And now I think we're just observing general development or summer. Well, job posting application, again, it's less susceptible to the structural changes. And we really see that the applications are performing pretty well. And that -- in our view, that's just a representation of overall economic state because obviously, the candidates historically, it was clearly a candidates driven market, right? Post COVID, situation changed. Significantly. And now candidates fell less sort of complacent, right? And so we're really observing much higher engagement from the candidates, and that is resulting in just higher application their candidate, registered. Candidates
Operator: [Operator Instructions] And we've had no further questions come through at this time. And there are still no further questions, so I'll hand the call back to Roman. Well, we've just received one more question. It's Roman Cicilo.
Unidentified Analyst: I wanted to ask a follow-up question about the marketing that you guys were talking about. You talked about the increase that you put through to the marketing budget in June. I guess I was just curious what that looks like over the course of the rest of the year with the competitive dynamic that you're seeing, the rebound in activity. How much of an increase in marketing should we be expecting in the second half of the year?
Grigorii Moiseev: Yes. Thanks, Roman. This is Grigorii. I think, as you saw, we had a 6% increase in marketing in Q2, right? That's kind of not very dramatic, frankly. But in terms of that's correct that June was very kind of intensive months. I think it accounted for slightly kind of half of the quarterly budgets. In terms of the second half of the year, I guess, we are looking at more or less kind of the same level of market in ruble terms as we had the year before in the second half, maybe kind of slightly more than that depending on the development of the competitive situation or any opportunities we may see in terms of additional investment. Currently, I guess, no plans to kind of significantly materially increase the level compared to the last year.
Unidentified Analyst: So it sounds like marketing expense will not be a headwind to margins in the second half of the year, the way they were in Q2, right? Because I guess my impression from earlier the comments that you made over the course of the second quarter was that there will be a bigger increase to marketing spend --
Grigorii Moiseev: Yes, hopefully.
Unidentified Analyst: Need to take market share that you talked about. It doesn't sound like it's coming fluent to the extent that you had expected?
Grigorii Moiseev: Yes. Yes. Hopefully, they won't. Just -- the problem here is that it will largely depend on revenue development, right? So probably, as Dimon said, we do have now is high single-digit growth in our revenues. While the risk kind of continues until the end of the year, I would say the marketing in the second half of the year would be kind of on the same level as the year before as a percentage of revenue, right? At the same time, for the full year, I guess -- again, taken this scenario in account about revenues. I guess for the full year, marketing can be slightly higher as a percentage of revenue and can each. So we can get some pressure on margins from marketing for the full year, just on the back of the low revenue in the Q2.
Unidentified Analyst: Do you think going forward the competitive environment is such that marketing will continue to increase as a percentage of sales in future years as well? Or is the increase this year going to be a one-off?
Grigorii Moiseev: I think, firstly, we frankly do not have an increase attributed to competitive environment, right? It's just an increase as kind of percentage of revenue on the back of lower revenue rate. I don't know. I think it's kind of difficult to kind of make a long-term prediction. But I don't think we are currently thinking of significant change in marketing pushes on the long run due to competition. However, I think as Dimas said before, certainly, the competitive activity is increasing this year. And I guess, we, of course, would reserve kind of right to reconsider this maybe later.
Mikhail Zhukov: Yes. And Roman, maybe I would add to this, just that effect the increased marketing spend is not kind of a reflection of -- not only a fraction of intensify intensified competition. I would say, it's our kind of stand-alone decision because we understand that, that's a great opportunity when effectively, there's a lot of demand, and you can actually spend a lot of money with great payoff. Net debt, what we are seeing now in terms of content, for example, right? And therefore, I would say that the current -- I would kind of take it out of context a little bit because from the -- like a longer run perspective, I think we've always been saying that there's a lot of operating leverage in our marketing spend, right? We historically show that, that's kind of steadily going down as a percentage of revenue. I think that shouldn't be changing, and this year, just a great opportunity for we will accelerate our kind of midterm revenue growth, and we were using this opportunity. So I would probably not take to --
Unidentified Analyst: Maybe one final big picture question. As you look ahead, and obviously, it's an environment that's still lower visibility than the normal, but post COVID, do you think the revenue growth trajectory that we can see in future years? Does it look different from what we could have expected 6 months ago or 12 months ago? Has it structurally changed the future growth trajectory of the business, do you think? Or do you not see any reason to include that so far?
Dmitry Sergienkov: Well, I think we just probably had enough time to absorb the kind of prevailing trends and conclude whether there are sustainable trends, right? It was just the kind of delayed demand from the current seen period. Because now, we are seeing really strong recovery, and in July, August, said it's already kind of mid- single-digit revenue growth. So in regions, I think our key accounts are growing really at nice 20% already, right? So hopefully, by end of this year, we -- in fourth quarter, we kind of reached the double-digit revenue growth. That's kind of our target, obviously, subject to no external shocks. And then this next year would be kind of very important, right, so, if the economy continues to perform, and then, we already switched to our new monetization model, and a lot of delayed demand. And we clearly see outperforming blue cover market now, right? So it's a kind of bluecore vacancies already reached 45% of our total vacancy feet. We did, honestly, didn't project that high share of blue collar. So if they kind of remain in the market, right? So the blue collar digitalization will accelerate them probably in 2021, '22, we should be seeing kind of accelerated revenue growth. But as I said, just let's see how economy evolves in the next 3 to 6 months, I think then it would be easy to conclude.
Operator: And your next question comes from Svetlana Sukhanova from Sberbank. Please go ahead.
Svetlana Sukhanova: My question would be about your most exchange listing. Your press release is saying that you do expect to do this thing in the early Q4. My -- I think you can manage the bit earlier. So my question would be, when should we expect you to be listed on Moscow Exchange? Thank you.
Dmitry Sergienkov: It's Dimas. We are working towards, again, admission by end of September, early October. So it's no kind of under unpredicted surprises, then we should be probably getting the secondary listing in the very beginning of fourth quarter.
Svetlana Sukhanova: Okay. So not earlier, not like mid-September. What -- I understand.
Dmitry Sergienkov: Whether it would be mid-September or end of September, I think it does make a lot of difference, at least from our perspective. But yes, we probably are kind of -- worst of scenario is that it will be around end of September.
Operator: Thank you. And we now have no further questions. [Operator Instructions] And no more questions are coming through. So, I'll hand the call back to yourself, Roman, thank you.
Roman Safiyulin: Yes, thank you, everybody, for joining the call. Bye-bye.
Grigorii Moiseev: Thanks, everyone. Bye-bye.
Operator: Thank you. That does conclude our conference. Thank you all for joining. You may now disconnect.